Unidentified Company Representative: Thank you for joining us for Afya’s conference call. I’m here today with Afya’s CEO, Virgilio Gibbon; and our CFO, Luis Andre Blanco. During today’s presentation, our executives will make forward-looking statements. Forward-looking statements can be related to future events, future financial or operating performance, known and unknown risks, uncertainties, and other factors that may cause Afya’s actual results to differ materially from those contemplated by these forward-looking statements. Forward-looking statements in this presentation include, but are not limited to, statements related to the business and financial performance, expectations and guidance for future periods, or expectations regarding the company’s strategic product initiatives and its related benefits. These risks include those more fully described in our filings with the Security and Exchange Commission. The forward-looking statements in this presentation are based on the information available to us at the date hereof. You should not rely on them as prediction of future events and we disclaim any obligation to update any forward-looking statements except as required by law. In addition, management may reference non-IFRS financial measures on this call. These measures are not intended to be considered in isolation or as a substitute of the results prepared in accordance with IFRS. This presentation has reconciled these non-IFRS financial measures to the most directly comparable IFRS financial measures. Now, let me turn the call over to Virgilio Gibbon, Afya’s CEO.
Virgilio Gibbon: Thank you, Joao [ph], and welcome to our First Conference Call of 2025. It is with much satisfaction that Afya starts another year of great operational and financial performance. This quarterly results show the high predictability of our business and successful execution of our strategy that, once again, combines strong growth with higher profitability and cash generation, Afya’s three pillars business model. This quarter was marked by gross margin expansion within our Undergrad and Continuing Education segments, combined with solid cash generation and robust EPS growth, showing our consistent business expansion. In this presentation, I will cover key strategic topics, including our performance and highlights, the success of business execution across our three segments, and finally, Luis Blanco will provide an in-depth look at our financial operational performance. Now, turning to Page #3, let’s begin by highlighting our performance achievements. Initially, our net revenue increased by 16%, reaching R$936 million, accompanied by a growth in adjusted EBITDA of almost 24% year-over-year, reaching R$492 million, with a record margin of 52.5%. We also reported a strong cash flow from operating activities, again, of R$470 million, reflecting almost 10% increase compared to the previous year, boosted by the solid operational results of the company, with a cash conversion rate of 96.8%, and solid cash position of almost R$1.2 billion at the end of the first quarter. With consistent momentum, our net income reached R$257 million, making over 23% growth year-over-year, with an EPS of R$2.79, a remarkable 23% increase compared to the previous year. This underscores our discipline, capital allocation and an efficient capital structure. Moving to our operational updates, we have 3,593 approved seats, but with the closing of the Funic acquisition, which will contribute with additional 60 seats, our total number of approved medical seats will increase to 306 -- 3,653 seats. Additionally, our number of Undergrad Medical students has reached almost 26,000 students, representing almost 50% growth compared to the first quarter of 2024. Furthermore, we increased the net average ticket of medical school by almost 4% year-over-year, reached R$9,240. In addition, we continue to observe improving performance in the Continuing Education and Medical Practice Solution segments. In Continuing Education, net revenue increased almost 9% year-over-year, pure organically, reaching R$71 million. In Medical Practice Solution, we saw 14% growth in net revenue compared to the first quarter of 2024, reaching almost R$42 million. Lastly, our Ecosystem has 317,000 active users, exemplifying substantial penetration among physicians and medical students in Brazil. Moving to Slide #4, we will discuss our performance across our three business segments. Starting with the Undergrad segment, we observed important movements throughout the quarter, such as higher tickets in the medicine course, with almost 4% increase over a year. This growth was accompanied by gross margin expansion, driven by the consolidation of Unidom acquired in July 2024, and the ramp-up of our four medical campuses, launched in the third quarter of 2022. It’s also important to note that we concluded the Funic acquisition, which will enhance our operation of six additional medical seats for the next semester. The Continuing Education segment was marked by an increase in graduate journey students, in addition to a gross margin expansion driven by our ongoing operational restructuring, which continues to contribute to improve cost management, cross-selling, general and administrative expenses. In Medical Practice Solution segment, growth is being driven by the ramp-up of B2B contracts and the continuing expansion of active payers, as well as B2B engagements and the addition of new contracts with pharmaceuticals and industry partners. Before moving to the next slide, I’m proud to share that in April, we received two significant recognitions. Moody’s agents in Brazil upgraded our national scale credit rating from AA+.br to AAA.br with a stable outlook, reflecting our strong growth, cash generation and financial discipline. I’m also pleased to highlight that we successfully achieved all the IFC-defined targets for 2024, including the number of free medical consultations provided and the percentage of medical costs rated with the highest quality scores. Meeting these targets will trigger a 15 bps step down in our lower interest rate over the next 12 months, reinforcing both our social impact and financial discipline. Additionally, we received our first ESG rating for MSCI, debuting with a solid BBB score. MSCI’s sector relative methodology underscores that we outperformed a significant portion of its peers, particularly in areas like data privacy and security, where our practices were stronger than many in the industry. This further solidifies our commitment to sustainability. On the next page, we would like to highlight that the latest ENADE and CPC results, released by INEP, showcase outstanding academic performance across Afya’s medical schools. These results reinforce our ongoing commitment to academic excellence, innovative teaching and the development of highly qualified professionals. Among the results, we are proud to celebrate our achievements and congratulate our institutions that performed above expectation, which continues to strengthen Afya’s position as a leader in medical education in Brazil. And now, I will turn the call over to Luis Blanco, Afya’s CFO, to provide further insights into the financial operation metrics. Thank you.
Luis Andre Blanco: Thank you, Virgilio, and good evening, everyone. Starting with Slide #7 for discussions of key operational metrics by business unit. Starting with the Undergrad programs, our number of medical students grew 15% over the first quarter 2024, reaching almost 26,000 students, and approved medical seats increased 12% yearly to 3,593. Our medical school net average ticket increased by 4%, reaching R$9,240 in the first quarter of 2025. In addition, net revenues for the Undergrad segments saw over 17% increase, achieving R$827 million, 86% of which are related to medicine and 94% from health-related courses. On the next page, I will present our Continuing Educational metrics. We approach Continuing Educational through three main journeys. Starting with the residency journey, which encompass products focused on residence preparation. We saw a 70% decrease, reaching 12,203 students by the end of the period. In the graduate journeys focused on the specializations test preparations and graduate courses in medicine, students grew by 16%, reaching 8,542 students. Lastly, our other courses and B2B offerings decreased by 3% over the same three-month period of the prior year. Continuing Educational net revenue rose to R$71 million in the three-month period of 2025, up from the R$65 million in the three-month period of 2024, reflecting growth of almost 9%. This includes an 8% increase in B2B revenue and 16% increase in B2B. Moving to Slide #9, I’ll discuss the Medical Practice Solution s operational metrics. The first graph shows our total active payers, which are the ones that generate revenues in the business to physicians B2B. Following a stead growth trend, the number of paying users increased to over 198,000, a 4% increase over the same quarter last year. The second graph highlights our monthly active users, which accounts for 245,000, slightly lower than the 263,000 record last year. This reduction still reflects the transition from the PEBMED portal to the Afya portal. Lastly, in our final graph, we present the net revenue of our Medical Practice Solution segments, which has expanded by 14% compared to the same quarter of the last year, reaching R$42 million. Of this total, R$37 million was generated by B2B, showing an increase of 14%, while B2B contributed to R$4 million, a 16% increase over the same quarter last year. In the next slide, we present our Afya Ecosystem. We’re pleased to highlight Afya’s substantial contributions to the Brazilian healthcare community. By the end of the first quarter of 2025, our Ecosystem encompassed over 370,000 physicians and medical students using our service and products. Moving forward to Page 11, I want to discuss our financial overview for the first quarter of 2025, starting with the next slide. With great satisfaction, I present another strong quarterly performance for Afya. Net revenue for the first quarter of 2025 reached R$936 million, representing a 16% increase compared to the same quarter last year. The yearly revenue increase was mainly due to higher tickets in medicine courses, the maturations of medical school seats, the consolidations of Unidom, and advancements of Medical Practice Solutions and Continuing Educational segments. In the first quarter of 2025, adjusted EBITDA rose by 24%, reaching R$492 million, with an adjusted EBITDA margin of 52.5%, a gain of 300 base points compared to the first quarter of 2024. The expansion in adjusted EBITDA margin is largely attributed to a strong performance of the Undergrad segment. The gross margin expansions in the Undergrad and Continuing Education segments, the ramp-up of the four medical campuses that started operations in the third part of 2022, the operational restructuring efforts in Continuing Educational and Medical Practice Solutions segments, the centralizations of academic process and expansions of service provided by our shared service center, and also more efficiency in selling general and administrative expenses. Moving to the next slide, the first quarter cash flow from operating activities rose by almost 10%, reaching R$470 million, reflecting a strong operational performance. Operating cash flow conversion ratio was 96.8%. Net income for the first quarter of 2025, totaling R$257 million, representing a 23% increase from the same period in 2024. Adjusted net income was R$294 million, a 17% increase. This net income reflects not only our strong operational performance, but also the impact of the new tax legislations implementing the OECD Pillar Two rules, which introduce additional social contributions to ensure a minimal effective tax rates for multinational groups. This result in an increase of R$23 million in our income tax expenses for the period ended in March 2025. Despite this effect, net income grew robustly, underscoring the resilience and efficiency of our business model. Regarding EPS, we achieved R$2.79 per share in the three-month period, representing a 23% increase year-over-year. And now, moving to my last two slides, I will discuss our cash and net debt positions, also giving more color on our cost of debts. This slide presents a table detailing our gross debt compositions and total cost of debt, covering our primarily obligations, the Softbank transactions, the mentors, other financial liabilities, the IFC financials, and account payables to selling shareholders. Afya’s capital structure remains solid, with conservative leveraged positions and a low cost of debt. Afya net stats, excluding IFRS 16, divided by the midpoint of 2025 adjusted EBITDA, was 0.9 times. On the next page, we can look closely at our net debt variation. As of the first quarter 2025, our net debt had reduced to R$1,524 million, when compared to the end of 2024, a reduction of R$291 million, reflecting our strong operational performance and capital allocations discipline. This concludes our prepared remarks. We are proud of our accomplishments and robust performance across all areas. Our commitment to advancing the medical journey through an integrated educational system and Medical Practice Solution s remains strong, supporting students in becoming physicians, promoting continuous medical learnings, and enhancing physicians’ accuracy and productivity. As we look ahead, we are enthusiastic about the opportunities that lie before us. I will now open the conference for the Q&A session. Thank you.
A - Unidentified Company Representative: If you want to ask a question, please raise your hand. We’re going to start the Q&A session with Flavio Yoshida from Bank of America. Flavio, you may go ahead, please.
Flavio Yoshida: Hi. Good evening, everyone. So I have two questions on my side. The first one is on the EBITDA margin. So we noticed a very strong print on the quarter. I would like you to share some details on what drove this performance. Was it related to the ramp-up of new units, to greater efficiency, or maybe contribution for other businesses? And also, given the strong print on the quarter, if you see room for an upward revision on the guidance for this year? And then, my second question is on the intake process. So, are you guys seeing a greater challenge on the intake process, given the seats offering expansion of medical courses over the past year? Are you guys feeling that it’s getting hard to fill all the seats? If you could comment on the intake process, we would like a lot? Thank you.
Luis Andre Blanco: Hi, Flavio. Thank you for your question. It’s Blanco speaking. I’ll take the first one and Virgilio will get the second one regarding the intake. So, regarding the margin expansion that we had compared to the same period of the prior year, the main driving was the higher gross margins that we got from the margin expansion that we got from the Undergrad and the Continuing Education segments. The continuing ramp-up of the four medical campuses that we’ve launched in the third quarter of 2022. The continuing initiatives that we got with higher efficiency coming from the Continuing Education segments and Medical Practice Solutions. Remember that we’ve made a huge transformation in the first quarter of 2024, moving some functionalities between the segments and restructuring the segments internally. And we got a lot of efficiencies on these movements. So, it’s like the full year of these changes. And the improvements cost and efficiency in SG&A still that we got from the applications of the zero-budget project that we’ve started in 2023. And on top of that, we came with Unidompedro, where we got almost 100% occupancy with that and with a very, very smooth acquisitions that will make that on this month of May, we’re going to put Unidompedro in our shared service. So, we are very happy with these results that we achieved in the first quarter. Regarding the year, we have a view that we have a very strong start of the year, but we keep our guidance that we provided in March for the year. We are ahead in terms of margins, but right now we keep the guidance that we provide both in terms of revenues and EBITDA for the year. If we had a second semester intake, we might review it. But right now, we keep our view for the year. Okay?
Virgilio Gibbon: Thank you, Blanco. So, just to add on that, a very strong start for 2025, Flavio. Yeah. And just remembering, we just closed yesterday six additional seats in Contagion City, close to Belo Horizonte, where we are right now. And any update that we may have or not on our guidance for 2025, that would only happen after the second semester intake. So, also depending on all the process to be completed. And regarding the intake process that we had on the first semester, it was a very healthy intake process. Around seven to eight candidates brought every seat that we have in Brazil. We saw a very strong recognition of our brand, the brand project that was kicked off in 2023. I think it’s paying out, and I think this is a good news for all campuses that’s using now Afya’s brand around the country. So, not only on the medical intake was a health process, but if you may see on the table too, we have a very strong intake and renewal for also health and non-health programs that also happen to grow organically all the student base in 2025. This is ahead of our expectation. We have a very strong intake and a better renewal rate that was result of a very good renewal process that we started back in November last year, made a very strong student base for 2025. So, that’s it.
Flavio Yoshida: All right. Thank you.
Virgilio Gibbon: Thank you, Flavio.
Unidentified Company Representative: Thank you, Flavio. The next question comes from Lucca Marquezini from Itau.
Lucca Marquezini: Hi. Good evening everyone and thank you for taking our questions. A couple of questions from our side. The first one would be regarding the Undergrad medical school average ticket. It grew 4% year-over-year, which is pretty much in line with inflation. So, my question would be whether the company has seen any significant change in the competitive landscape that maybe brought some challenges in implementing price hikes. So, that’s the first question. And then the second question would be regarding the Medical Practice Solution segment. We saw a decrease in the number of active users. So, we were just wondering if there was a change also in the competitive landscape and what is the expectation for the rest of the year for this segment? Thank you.
Virgilio Gibbon: Lucca, thank you. So, the Undergrad ticket, it’s around 4%. We expect a little bit higher than that, but we have an impact on the increase of FIES percentage that start impacting our campuses last year. So, last year we had around 10 campuses that were impacted by the 27.5% retention on the FIES and that has impacted a little bit the increase that we had on our tuition, on our average tuition. So, moving ahead, the price that we passed was a little bit above than that. So, as soon as we have compare -- same-stores comparison that with the institutions that had this impact, I think that it can be even a little bit further than that for the next part, but close to 4% to 5%. We are not expecting any difficulty here to change close to inflation to our campuses. So, it’s just more than the same what we are doing every semester, every year, when we start the intake process for the following year. Based on the active users, Blanco will add something here.
Luis Andre Blanco: Hi, Lucca. Thank you for your questions regarding the monthly active users on the Medical Practice Solutions. We still see a kind of a pushback in the movements that we changed the PEBMED portal to the Afya portal. And as you remember, when we make these changes, we put a lot of these contents that are related to the content of the portal regarding with a lot of information. So, these kinds of movements, we had some pushbacks on the monthly active users using our website. But as these keep going, we see this pushback being smaller. So, the changes, if I’m not wrong, happening in April last year. So, the most part of these changes has already happened, there is no changes on the kind of profile of assets that we are seeing right now.
Virgilio Gibbon: And Lucca, just to add a point here, just the rationale behind it, we changed the portal back in April 2024. And the reason of that, that we decided to be more strict to have the users sign our portal here. So, it’s more difficult to have the active user, we are getting more information. The reason of that is that, well, we have more information, we have more behavior, and also we can leverage the relationship with the industry, with the B2B contracts, having more details, more data about these users that is logging into our ecosystem. On the other side, the payers keep improving in a healthy way. That was a decision that we took to be more restrictive, but it’s running as expected. Okay?
Lucca Marquezini: Thank you, Virgilio and Blanco, that was very clear.
Unidentified Company Representative: Thank you, Lucca. The next question comes from Mauricio Cepeda from Morgan Stanley.
Mauricio Cepeda: Hi, Virgilio, Blanco. Thank you. Thank you for the opportunity here. I have two questions. One, if you could clarify all this kind of minimum tax according to the Pillar Two of OCDE (sic) [OECD], how -- a little bit on why were you classified as a multinational company? What are your perspectives in terms of, let’s say, this kind of tax behaving? I understand that you were provisioning, not necessarily paying, if I understood correctly, from the tax. What are your expectations here? And the second about the Softbank convertible debt, right? Do we have this? We are getting closer to the deadline and how are you preparing in terms of cash if this debt is not converted into equity? Thank you.
Luis Andre Blanco: Hi, Cepeda. It’s Blanco speaking. I’ll take the two questions here. Regarding the Pillar Two, yes, it was a law that was enacted on the 27th of December and being effective in January 2025. This law aligns the Brazilian tax legislation with the OECD global rules and introduces a minimum taxation. It’s a complex calculation, very, very different from the Brazilian calculations of lucro-real [ph] that we are used to have here. So, this was approved in the last minute of 2024 and effective for this quarter. This applies to multinational groups that have a lot of entities in the country. The multinational group has more than €750 million in the last years, in the last fiscal year. So, in our understanding, we are under the perimeter of this law. So, what we did, we made this provisioning. The payment of it is due to July 2026, that’s when we should pay it. And right now, we started at the end of March, we started to question it, to do our injections, going to justice, to question this effect, the constitutionality and some points about this, because how it is implemented has some -- is reducing the impact of the problem. So, it’s a complex case. We had a conservative approach of provisioning that until we are discussing that in the justice, okay? So, it’s a provision, it’s not a cash disbursement right now. Regarding the Softbank transactions, we had this early redemption, the right of early redemption from Softbank in May 2026. Right now, we don’t have any official positions on that, but as we are getting closer, what we did in 2034, we started to provision the premium from this law that is due this premium if they exercise this early redemption. Then, we started to talk with Softbank regarding their views on that. We don’t have any official positions regarding the extension or not of these operations, but what we did, we started to get in 2004 the provision of this premium of 5%. But we are prepared with our cash flow generations to pay these instruments if it’s required, if Softbank exercises the early redemption on May 2026.
Mauricio Cepeda: That’s clear. Thank you, Blanco.
Unidentified Company Representative: Thank you, Cepeda. As a reminder, if you want to ask a question, please raise your hand. Our next question comes from Marcelo Santos from JPMorgan.
Marcelo Santos: Hello. Good evening. Thanks for taking the questions. I have two as well. The first, I want to touch on Continuing Education. We saw the revenue trend starting to improve, but still single digits. What could -- what -- could you provide an update on what’s going on in this segment and what’s the expectation for this year? And the second question is about the B2B business within Medical Practice Solutions. I remember last year that there was kind of, let’s say, the revenue that was proposed to take place in the first quarter happened in the second. Looks like this year, something like, is this seasonality? How is the B2B business going on the Medical Practice Solutions? Thank you very much.
Virgilio Gibbon: Hey, Marcelo. I’ll get the first one and Blanco will help me with the second one here. So, on Continuing Education, we had a very good intake process and also the end of year process coming from graduates, all the specialization, that long-term and higher ticket. Brazil facing some competition on the residency and small programs of the lower ticket. So, that was the combination. We accelerate our growth when you compare to the speed that we were on the third quarter and the fourth quarter last year, a little bit higher, expecting to be even a little bit better for the following quarters. But yes, we are growing on graduates, the speed that we would like to grow, but still facing strong competition on residency prep programs. So, that’s the main reason why we are close to 10% on Continuing Medical Education this first quarter and also, I think it will be something close to that for the rest of the year. Regarding the B2B, Blanco would like to...
Luis Andre Blanco: Yeah. Thank you, Marcelo, for your questions. As you remember that we had some postponement of recognition of revenues in 2024, moving from the first semester to the second semester. That made, at that time, if you compare 2024 with 2023, we have even a decrease on that. What happened, and you clearly see that in the B2B, that we had some kind of seasonality on how the pharmaceutical industry made the contracts with the adversement products that we have. The fourth quarter, it’s always more active in terms of contracts if you compare it to the first quarter. So, you can see in the B2B sides that the first quarter always will be a little bit below what we had to find in the fourth quarter. Just to see if we got the growth of 2024 as a whole of the year, the B2B contracts grew last year almost 30% in terms of revenues. Right now, we started with lower, with 16, compared to a minus 6.2 in the same period of last year. So, it’s kind of a little bit of seasonality in the pharmaceutical industry, but we are very confident regarding the B2B business, mostly supported by the pharmaceutical players.
Marcelo Santos: Perfect. Thank you very much for the answers.
Unidentified Company Representative: Thank you, Marcelo. Since we don’t have any further questions, I would like to thank your participation here today. We from the Investor Relations teams are available if you have any follow-up questions. See you again in our next conference call. Thank you.